Operator: Good morning. Thank you for standing by, and welcome to Telefonica's January-December 2024 Results Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session. [Operator Instructions]. As a reminder, today's conference is being recorded. I would now like to turn the call over to Mr. Adrian Zunzunegui, Global Director of Investor Relations. Please go ahead, sir.
Adrian Zunzunegui: Good morning, and welcome to Telefonica's conference call to discuss January-December 2024 results. I'm Adrian Zunzunegui from Investor Relations. Before proceeding, let me mention that the financial information contained in this document has been prepared under international financial reporting standards as adopted by the European Union. This financial information is unaudited. This conference call and webcast including the Q&A session, may contain forward-looking statements and information relating to the Telefonica Group. These statements may include financial or operating forecasts and estimates or statements regarding plans, objectives and expectations regarding different matters. All forward-looking statements involve risks and uncertainties that could cause the final developments and results to materially differ from those expressed or implied by such statements. We encourage you to review our publicly available disclosure documents filed with the relevant securities market regulators. If you don't have a copy of the relevant press release and the slides, please contact Telefonica's Investor Relations team in Madrid or London. Now let me turn the call over to our Chairman and CEO, Mr. Marc Murtra.
Marc Murtra: Good morning, everyone. Let me start by saying that I am honored to address you in my first earnings call as Chairman and CEO of Telefonica. I have prioritized the conduction of a tour across our operations. I see both significant strengths and opportunities to enhance our execution and our long-term shareholder value creation. Our position in high quality core markets reflects both our heritage and potential. The market leadership we've achieved in Spain and Brazil, combined with our strategic positions in Germany and the U.K. gives us a relevant reach and scale. While we have built strong operational capabilities, I see opportunities to deploy these more effectively across our footprint. I will share with you more when ready, but my vision is to accelerate the performance of this great company, raise the level of ambition, simplified where prudent and ultimately drive the corporate valuation higher over time. This year performance demonstrates the fundamental strength of our business model. Despite a dynamic macro environment, we've delivered growth across our key metrics, including free cash flow. Today's rapidly evolving landscape, we must adapt rapidly to capture our full potential. Our strength, as I see, rests on three pillars: first, scale customer relevance with increasing customer satisfaction and growing NPS over a total customer base of 390 million; second, we are a world-class infrastructure company, leaders in fiber and in copper shutdown in Europe; and third, our strong and proven know-how with senior and experienced management in place. Looking ahead, I believe it is time to elevate our ambition and boost our strategic plan in a new time in Europe. I see opportunities to accelerate execution across our business from our core connectivity service to our growing B2B technology solution and under an industrial rationale. We should further intensify our focus on core markets and activities through and portfolio optimization, whilst maintaining efficient capital allocation. The European telecom industry should move in more euro-centric decisions. The pace of technological disruption and investment requires demand that we move faster and more decisively with consolidation driving future growth. Telefonica is uniquely positioned to lead in this evolving landscape, given our operational excellence and technical capabilities within what I believe to be a more favorable regulatory framework. My immediate focus is on increasing our operational velocity, evaluating all options for shareholder value creation and enhancing speed to market, whilst building on Telefonica's strong foundations. We have significant opportunities to drive business performance and accelerate value creation through financial discipline and with free cash flow as the key metric to focus. You will learn more later this year as I plan to share findings from the strategic reflection and review that we will conduct for the -- during the next few months before the year-end. I am committed to making Telefonica the best that it can be controlling what is within our control and more. In the meantime, once we have the right assets and the right knowledge, we will continue executing but with greater speed and decisiveness to deliver. I will now hand over to Angel, who will guide you through and the financial year 2024 results as well as the performance of our core operating businesses.
Angel Vila: Thank you, Marc. Let me start by highlighting that we have fully delivered within our 2024 guidance ranges across all metrics. Looking at free cash flow, we generated €2.6 billion, representing 14% growth year-on-year, above our more than 10% guide. The momentum in our core markets has been a key driver of these results. We are seeing healthy commercial trends across our core markets, with improved customer metrics that validate our strategy. As an example, Spain had full year-on-year growth in all accesses for the first time since 2018 and the best conversion churn, since 2013. Our network deployment continues at pace, but importantly with industry-leading capital efficiency, while extending our fiber footprint and 5G coverage, we've maintained a CapEx to revenue ratio of just 12.9%. The successful decommissioning of legacy networks is further enhancing our operational efficiency. These operational achievements have translated into a stronger financial position with leverage now reduced to below 2.6x, while maintaining strong dividend coverage. So strong momentum going into 2025. Let me now highlight our key achievements for 2024, which demonstrates substantial progress across three core areas of transformation. Our customer-focused strategy delivered strong results for the full-year. We grew our base by 2 million customers, while further improving our Net Promoter Score. Throughout 2024, our initiatives have significantly enhanced our commercial performance, driving sales efficiency, increasing customer lifetime value and delivering meaningful churn reduction. In network deployment, we've delivered significant expansion of our next generation infrastructure. We passed an additional 10 million premises with fiber during the year, while extending our 5G coverage by 10 percentage points across core markets. A particular highlight has been our pioneering work in network autonomy where we are seeing tangible benefits from AI implementation. 2024 was also a year of important operational milestones. Our team successfully progressed with our copper shutdown program in Spain, marking a significant step in our network modernization. At the group level, we continue achieving efficiency gains, particularly in areas like technical customer care. Whilst in Hispam, we advanced with our portfolio optimization efforts with the filing of an ordinary insolvency procedure in Peru and the sale of our operations in Argentina, following a competitive process that allowed us to optimize proceeds whilst avoiding execution risk. Our performance remained strong, as shown on Slide 6. Revenue was up 5.4% in the quarter, reflecting solid commercial momentum across our footprint. Service revenue maintained its trajectory with B2B continuing to be a growth driver and B2C showing resilience across our core markets. On profitability, we delivered reliable operating leverage while maintaining EBITDA flat year-on-year in Q4. While CapEx increased 5.7% in Q4 due to Argentina and FX and some phasing FX. We achieved our full-year target with CapEx to sales below 14%. Most importantly, our free cash flow generation showed strong progression throughout the year, demonstrating the effectiveness of our operating model and natural hedging policy. This performance translated into reduced leverage and improved dividend coverage. I will now guide you through our core operating businesses. Moving to Slide 7. Telefonica Spain delivered an excellent performance in 2024, with a leading growth profile based on strong commercial and operational momentum. For the first time, since 2018, all main accesses grew year-on-year simultaneously. Through a relentless focus on superior assets, customer care quality offering and a smart commercial approach, our strategy proved successful amidst changing market dynamics. Moreover, an industry-leading ARPU and the lowest churn in more than a decade, resulting to the best combination of KPIs in B2C. Together, with our premium IT proposal for B2B and extended wholesale agreements, it makes us the most sustainable player in the Spanish telco space. Commercial success fueled revenue growth of 1.3% year-on-year in Q4. And as we anticipated, full-year EBITDA was back to year-on-year growth, driven by improving retail revenue growth and further efficiencies in personnel, network transformation and digitalization. Meanwhile, EBITDA tower leases increased year-on-year for a second consecutive quarter. Noteworthy, this operational improvement was achieved whilst bringing down CapEx, leading to stable EBITDA minus CapEx compared to the previous year. Telefonica Spain faces 2025 from a stronger and better position to continue capturing growth and further adding operational leverage. On Slide 8, Telefonica Brasil continues to build a sustainable future -- sorry, by enhancing the quality of its service mix, thanks to steady growth in contract and fiber accesses. During the quarter, revenue increased by close to 8% in local currency, with the fixed line business reaching a new record high and sustained strong performance in mobile. Despite this strong commercial momentum and the higher contribution from digital services, the EBITDA minus CapEx margin grew year-on-year by as much as 0.5 percentage points to 18% in the last quarter of 2024. Finally, the agreement for the migration from concession to authorization was completed, a move that will transform our business and operations. Our German operations on Slide 9, maintained their good performance in Q4 with sustained O2 brand appeal and enhance B2B momentum, driving strong commercial traction. As for our platforms, the O2 network was recognized for its quality once again, receiving a very good rating from Connect Magazine for the fifth consecutive year with the strongest improvement among German MNOs. 5G population coverage expanded further now exceeding 97%. While O2 contract churn remained low and stable at 1.1%, reflecting strong customer loyalty. Financially, revenue declined by 3.7% year-on-year in Q4, impacted by MTR headwinds, tough handset comps and the shift in the one-on-one business model. However, disciplined execution and cost efficiencies supported EBITDA growth of 5.3% year-on-year with a sequential improvement in operating leverage and further EBITDA margin expansion. Moving to Slide 10, where we review our U.K. operations at VMO2. In Q4, we maintained our strategic focus on expanding our fixed network and enhancing customer value. Our fixed business continued to grow, supported by higher ARPU, which increased by 2% year-on-year. Fiber rollout progressed at a record pace, with 1.3 million premises passed in 2024, expanding our total fiber reach to 6.4 million homes. On the mobile side, contract churn remained stable at 1.1% as initiatives such as inclusive EU roaming and the auto priority loyalty program continued to strengthen customer retention. Additionally, 5G population coverage reached 75%, an improvement of as much as 24 percentage points year-on-year. From a financial perspective, revenue was flat year-on-year in Q4, showing improved momentum, while EBITDA declined mainly reflecting ongoing investment in IT and digital efficiency programs, B2B fixed headwinds and tough prior year comparisons. Despite this, we achieved £540 million in annualized synergies, delivering on our five year target nearly 18 months ahead of schedule. Slide 11 reviews the performance of Telefonica Tech, a driving engine for the superior growth of Telefonica's B2B revenue. Telefonica Tech has completed 2024 as a fully integrated tech player, consistently outperforming its market and revenue exceeding the €2 billion mark. Revenue growth accelerated in the last quarter to 10% year-on-year in 2024, supported by a highly skilled workforce and widely recognized capabilities for delivering advanced IT services for B2B digitalization. Main driver behind this performance is the operating leverage of the new organizational model, which expanded capabilities across the footprint and allowed us to improve the revenue mix. The larger size and value of the new projects are increasing the weight of professional managed services, which translate into a more recurrent and more profitable revenue flow. Furthermore, the strong sales pipeline with both commercial funnel and bookings growing faster than revenues, further increased revenue visibility. Thus, the business sustainability increases. Moving to Slide 12. Telefonica inferenced driving growth and accelerating digital inclusion through the deployment of state-of-the-art next-generation infrastructure. We passed 25 million fiber premises by year-end in our fiber costs, progressing towards our target of 30 million by 2026. Approximately 30% of Telefonica Group's future fiber deployment. Telxius, our best-in-class international connectivity infrastructure is expanding its international network by adding another new generation subsea cable connecting Puerto Rico and the U.S., expected to go live in Q3 '27 at sustained profitability levels close to 50% in 2024. And the agreement to sell our stake in Nabiax at attractive multiples is a further successful step in our asset recycling strategy to generate significant gains and unlock value, closing conditional upon receiving regulatory approvals. I will now hand over to Laura, who will give -- who will guide you through Hispam performance and the main financial topics.
Laura Abasolo: Thank you, Angel. In Hispam, as we saw on slide 13, we have recently taken relevant steps in the execution of our strategy. Firstly, in Peru, where Telefonica del Peru has filed for the ordinary insolvency procedure. This is the right decision to fulfill a fiduciary duty of protecting Telefonica shareholders' interest. In addition, new limited financing of approximately €390 million have been granted to Telefonica del Peru, subject to strict conditions. On top of that, last Monday, we announced the sale of our operations in Argentina for close to €1.2 billion, as a result of the highly competitive sale process, which has allowed us to optimize the proceeds significantly exceeding market expectations. This deal will have certain accounting impacts in Q1 2025. Around €1 billion FX translation impact that reflects the accumulated evaluation since the acquisition back in 1991. It is a noncash impact. And moreover, it has already been reflected in an equity. This is just a reclassification. But I would like to highlight again how these and conditions sales were signing and closing took place simultaneously allows us to avoid execution risk while cashing in close to €1.2 billion. We believe this demonstrates our execution focus, taking steps to continue with our portfolio simplification exercise under very attractive terms. You should expect from us to continue exploring value creation alternatives to our Hispam operations. Following the Hispam, we continue to work towards a more efficient and rational industry by sharing infrastructure and optimizing resources as shown on Slide 14. In Colombia, we announced the integration of Movistar and Tigo's mobile access infrastructure into a jointly owned company to expand coverage to new locations and offering greater capacity and speed to customers. Our FTTH transformation progresses as planned and 96% of our fixed broadband access are connected to FTTH networks. This is a plus 5 percentage points year-on-year. Q4 '24 results were impacted by a more favorable comparative base in Q4 '23 driven by the depreciation of the Argentinian Peso in Q4 '23 and the adoption of the new exchange rate in Venezuela. Revenue, EBITDA and EBITDAaL increased by 7.8, 3.4 and 2.4 year-on-year. Moving to our capital structure. Telefonica maintains a robust balance sheet position. As of December 2024, our net financial debt stood at €27.2 billion, translating to a net debt-to-EBITDAaL ratio of 2.58x. During this year, net financial debt declined by €0.2 billion and net debt-to-EBITDAaL was reduced from 2.60x to 2.58x, mainly due to the solid free cash flow generation, which accommodated at a strategic move to raise our stake in Telefonica Deutschland. We are committed to reduce leverage. Meanwhile, Telefonica maintains a solid liquidity position of €20.9 billion that together with a live maturity profile allows us to cover the maturities over the next three years. Our debt is about 80% linked to fixed rates with an average life of 11.3 years, which places us in a comfortable position to face any market environment. It is to highlight that in January '25, Telefonica completed the refinancing of its main syndicated facility of €5.5 billion and extended its maturity to five years with two annual extension options up to a maximum maturity of seven years. Furthermore, we lower our debt-related interest cost to 3.32% versus 3.8% in December last year. Thanks to the active refinancing exercise undertaken in previous years, the robust position at fixed interest rates in strong currencies and lower interest rates in Brazilian reais. On Slide 16, free cash flow. On free cash flow, we delivered exactly what we promised last quarter. Q4 saw significant sequential improvement in line with typical historical patterns, plus 68% quarter-on-quarter, driving to a remarkable 14.1% free cash flow growth in 2024 over achieving guidance. In absolute terms and from what we shared with you in November 2023, free cash flow has grown by €0.5 billion, 25% growth in only 13 months. Levels of this performance has been the solid operations underlying business performance, driven by a strong operational leverage and lower capital intensity. Additionally, we've seen reduced dividend leakage following the Telefonica Deutschland and we optimize financial items benefiting from FX hedges. Moving to Slide 17. At Telefonica, responsible digitization is fundamental to our strategy and operational excellence. We are working to provide greener, more accessible and trustworthy products and services. In 2024, we have demonstrated our commitment to our Net Zero targets by reducing our carbon emissions across all scopes with 89% of our overall electricity now coming from renewable sources. On the social front, we are providing wider coverage for our customers, while mobile broadband reaching 84% of the rural population in Brazil, 95% in Spain and over 99% in Germany. We have a diverse and motivated workforce with an employee NPS of 75 and a growing number of women executives. Our governance remains robust, with sustainably embedded across the business and value chain. For example, we have provided anti-corruption training to over 70,000 employees. We have carried out more than 20,000 audits related to sustainability risk and over 37% of our financing is now linked to sustainability indicators. These efforts have not gone unnoticed. With Telefonica receiving recognition from prestigious organizations, including Time Magazine, Newsweek and being awarded leading ESG scores for the sector by ISS ESG and Bloomberg, among others. I will now hand back to Marc, who will wrap up.
Marc Murtra: Thank you, Laura. On Slide 18, we show our guidance for 2025. As discussed, we will conduct a strategic review that will end during the second half of 2025. We do not want to foreclose any specifics but it will be in line with what Telefonica is and has been and will, of course, focus on our know-how, industrial rationale and will be financially disciplined. In the meantime, we -- excuse me, we provide you with our 2025 guidance. For the sake of comparability, we decided to guide on unchanged consolidation perimeter as of December 31, 2024, whilst our offering organic guidance to avoid FX distortions. In 2025, we expect organic growth in both revenue, EBITDA and EBITDAaL minus CapEx. CapEx intensity to continue declining to less than 12.5% over sales by year-end, and free cash flow generation similar to the one posted in 2024, more than enough to pay a €0.3 dividend per share and continued deleveraging. Whilst we conduct our strategic review, our priority for 2025 is execution under disciplined capital allocation. So to recap the key takeaways for the year. In 2024, we delivered on our guidance. As such, we are preparing to adapt to changes in Europe as we announce our 2025 guidance and the dividend of €0.3 per share in cash. Spain, Brazil and Germany maintained momentum in Q4. At the same time, we deliberated on capital allocation, reducing our exposure to Hispam, strengthening our balance sheet. It is a new time in Europe as we see it, and we will conduct a strategic review to take the most of out of this new context, review that will be concluded in the second half of the year 2025. We are now ready to take your questions. Thank you.
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of Andrew Lee from Goldman Sachs. Please go ahead.
Andrew Lee: Good morning and welcome to the firm market. I look forward to meeting you. We -- I had two questions, both bigger picture. First one was just, I guess a few people were a little bit broadsided on the decision to put the midterm guidance on hold today. I wonder if you could just help us understand the decision behind that. Normally, what we see is new management comes in and does a strategic review and then adjust midterm guidance. Did you decide for the midterm guidance to hold because you don't believe is achievable? And any help you can give us just in kind of -- in terms of reassuring on the underlying delivery of the firm right now prior to that strategic review would be really helpful. And then second question, there's been -- I think you're in the press overnight, talking about potential ambitions for broader consolidation across Europe. One of the things that a lot of investors are talking about right now and are probably more excited about in the near term is in-market mobile consolidation. Do you see scope for Telefonica's ability to pursue and drive consolidation in any of your markets in the near to medium term? Thank you.
Marc Murtra: Thank you for your kind welcome and your words. And so with regards to your first question, no, the -- we are focusing on the 2025 guidance and not on the midterm guidance, not because I -- we don't think it's achievable, not because we think there's any changes to what we have said, but to give us the necessary strategic flexibility to go around conducting our strategic review. So let me be very, very clear. Nothing has changed with that regard. But we do see changes in what is going to happen in Europe, and that takes me to your second question. I know you've asked regarding in market. But on a broader European situation, we see -- we believe there are going to be drastic changes in Europe. It is very difficult to announce or to be very specific with regards to the speed at which that is going to happen. And that is something we are going to analyze in our strategic review. With regards to in-market consolidation, we do think there's going to be a bit more -- there is going to be more flexibility, but at this stage to be rigorous and specific, I would need to leave it at that.
Andrew Lee: Okay, thank you very much. That's helpful.
Operator: Thank you. We will now take the next question from the line of Mathieu Robilliard from Barclays. Please go ahead.
Mathieu Robilliard: Yes, good morning and thank you for the presentation and welcome also from my side to Marc. Marc, thanks for sharing your thoughts -- your initial thoughts, and I realize it's very early days. But I was trying to get a bit more detail on nuance notably based on what you said on your introduction remarks about the priorities. You did mention Spain and Brazil as core businesses. And you mentioned the stakes or your presence in Germany and the U.K. is strategic states. I don't know if that's a nuance that patterns. If you were suggesting something here, if you could clarify. And more broadly, when you look at the portfolio of assets, what will be the driving elements to address each market? Is it the scale that you have today? And you could have tomorrow? Is it going to be -- is it profitable? Is it earning its cost of capital or not? If you could give just a little bit of more details in terms of the concepts and the driving elements for your analysis. And then I had a question on the free cash flow guidance for 2025. I just wanted to clarify what was included in that compared to what you had said in the past. And from memory, I think, Laura, you had mentioned that in 2025 there was going to be a tax payment to Peru of around €300 million. I just wanted to confirm whether that was in the guidance or not anymore? And also, I think you made it clear now that you don't include anything coming from Colombia, but I just wanted to make that super clear. And lastly, if there's any FX hedging for good yield that is taken into your guidance? Thank you.
Marc Murtra: Thanks, Mathieu, for your welcome and your four questions. So there is no nuance, and there's no suggestion. We are where we are. We see great opportunities in Europe, driven by what is happening and by what I think and we think everybody can read and listen to. And we have, as I was saying, a very strong position in three very large markets within Europe. And there's no more to that than what I've said. Regarding the driving elements, we are going to conduct a strategic review, but happened. I mean this is something we're announcing today. But I think I can say very clearly that the analysis is going to be driven by operation rationale by improving our margins, consolidating our market so that scale can give us a better position midterm and long-term. We think that -- and we're not alone in this, of course, we think that the European market is fragmented and therefore, inefficient. And with -- and this is different to other markets. We can all see in Asia, in the Middle East and the U.S. And we think the wins are changing in that respect. And that is why we're going to conduct our strategic review to analyze that and to be ready for that. Thanks. Laura?
Laura Abasolo: Yes. Thank you, Mathieu, for your question. I'm happy to give more clarity. Free cash flow 2025 guidance is with perimeter equal to 2024. So you can see comparability. Therefore, we have not included the recent impact of the sale of Argentina, we have not included the recent filing of the Peruvian process, which both happened on Monday. That means we have Peru business as usual. I don't recall guiding on tax payments because we always say in the case of Peru, we always say timing is uncertain, but I can confirm that in 2024, we have paid €301 million of tax contingency in Peru. And whatever we estimate we have to pay in '25 and '26 is included in our guidance. Having said that, perimeter is definitely going to change, and we will have to give you the proper explanation, but there's going to be more changes. I remind you that Colombia is also for sale, and we have to wait for regulatory approval. And then again, timing is uncertain. Argentina, we just did. More deals could come as portfolio optimization in the case of Hispam is not finalized yet, and we still need to get the authorization of the process of Peru that we just filed. And I also confirm that the favorable filing of Colombia is not included in 2025. We had a positive P&L impact in 2024, but the proceeds are expected to be collected in 2026. And regarding FX hedging, we continue with our strategy, which has proven successful. And I can tell you that by now, we have approximately 60% of the Brazilian free cash flow hedge. We have benefited from the more favorable real FX for the first two months, but now we have hedged approximately 60%. So again, that will be very much sheltered, and on top of that, as you know, and I always emphasize there's a natural hedge on top of this financial help. So I hope I provide you enough detail, I'm happy to give you offline more if needed.
Mathieu Robilliard: Thank you very much. And sorry, Marc. I was hoping you were not counting the questions.
Operator: Thank you. We will now take the next question from the line of Akhil Dattani from JPMorgan. Please go ahead.
Akhil Dattani: Yes, hi, good morning. And Marc, welcome from mine as well. I've got two questions, if I can, please. Firstly, there was a very interesting interview with you yesterday in the Financial Times where you talked about some of the things you've already raised this morning, but I guess more broadly talking about the tech space. And I guess I was looking to get a few comments from you on that and just to understand better exactly what you're thinking. The comments in the FT, and I don't know how accurate they are, were that your comments were that you felt there was an important role for Europe and Telefonica to play in tech, but you said you wanted to focus in areas that you thought you had natural right to play. So I guess I'd love to understand what you think that is and how you think about it. Obviously, appreciating it's early days. And so any comments will be high level. Is this about scaling up Telefonica Tech? Is this transformational? Or is it just bolt-ons? Any sort of flavor you can give us on that would be super interesting. And then the second one is, again, just referencing back to your comments on consolidation. I guess, more cross border than in-market. You talked about scale being important, what do you think are the main benefits of bigger players in Europe, and you talked a lot about fragmentation. But I guess what do you think being bigger across Europe as a whole really offers? And why do you think that's so important and that would be really interesting as well. Thanks a lot.
Marc Murtra: Thanks, Akhil. So regarding your first question, what is relevant is -- what is relevant for us with regards to the conducting of our strategic review is that we're going to focus on areas where we have proven know-how and in markets that we know well or very well. And those would have to do, of course, with telecom's infrastructure and areas where we already operate. So we will conduct a strategic review and do not want to foreclose conclusions, but that strategic review is going to be where things where Telefonica exists and is, there are going to be no market adventures in two areas or technological areas where we do not operate. And at this stage, this is all we can really say, but markets where we operate in means markets where we have clients, where we have revenues and where we have EBITDA. With regards to consolidations and advantages that consolidation brings, so I want to be cautious, but it is true that European markets are local markets where consolidation has very clear advantages when we're discussing in market. But we think that -- and this is something we need to look into very carefully, but we think that having scale, having more investment capacity, having a more solid balance sheet and having a proper number of clients, one can eventually leverage on is an advantage, is an advantage. We're not expecting to discover any sort of chest at the beginning of a rainbow. With regards to that, there's a lot of know-how in the telecoms market, and we can see what happens when there are large operators in large markets like in the U.S. or elsewhere. So recapping a bit, Akhil, I'd say, there are clear advantages in intra-market consolidation, and we think things are going to move in Europe. But before they move, things will be silent also. So that's what we need to concentrate and analyze very carefully. And we think the tendency in Europe or the direction in Europe is to have large European telecom operators. And when that happens, because we think it is going to happen, we want to play a leading role. And here, just referring to my previous answers, always a disciplined, looking into cash, looking into generating cash value for our shareholders and within areas we know well. Thanks Akhil.
Akhil Dattani: Thank you, Marc. And just one super quick clarification on your first answer. When you think about the areas where you said Telefonica has substantial know-how and a right to play and you think about targeting growth in those areas. Do you have any bias in terms of M&A versus organic investments? Or is that still undecided?
Marc Murtra: That's a good question. And this, I am completely agnostic. We're going to look into net present value in every single one of our investments. So -- it will have to do with opportunity priorities, but always under a net present value analysis.
Akhil Dattani: Great. Thanks very much.
Marc Murtra: Thank you.
Operator: Thank you. We will now take the next question from the line of David Wright from Bank of America.
David Wright: Hello guys. I hope you can hear me. I guess it is around the balance sheet. You just said having a strong balance sheet. The leverage metrics you gave, I always quite own representative of the way that agency is look at you. I think they at least a turn with their adjustments. And you talk about deleveraging, you haven't seen any deleverage in '24 or from 2.6 to 2.58 is minimal. You are selling LatAm assets at 3 or so times which is not making any difference. And you're guiding to no change in free cash flow. So I'm not really sure how this ongoing deleverage accelerates and your leverage is undoubtedly at the higher end of European telco that is undoubtedly lowering its leverage targets. So I'm wondering how you're thinking about leverage in general, where it should be and the dividend, which is obviously a yield of around about 7% and your cost of debt is only 3%? That's question #1. And then I guess, question #2, your strategic review to be completed by the end of the year, and I said this with the greatest respect, that seems an awfully long time. Why would it take so long the assets in the portfolio seems reasonably defined the core assets, your infrastructure is reasonably defined in terms of Telxius and what is being sold, et cetera. Spain as well invested, Brazil is in good shape. I'm just wondering why it takes so long? And I hope that question doesn't seem disrespectful. Thank you.
Marc Murtra: Laura, if you want to go ahead with the first one, I'll answer the second one.
Laura Abasolo: Sure. Hello, David. Thank you for your question. In terms of deleverage in 2024, we are very satisfied with the reduction you've seen, it's 0.02, but please take into account that we have included all the purchase of the minority shareholders of Telefonica Deutschland. So if you include that, the deleveraging path has been much more positive. Free cash flow has been very strong 2.634, 14% growth. I remind you as well the high amount of contingencies we included in Peru in that figure, and free cash flow continues being the main deleveraging driver and which is a more structural way to deleverage. Having said that, and if we talk about the credit rated agencies, you're absolutely right. They do their own calculations. Those are public, our improvement in terms of the credit rating calculations are better than the reported ratio we disclosed. It's going to be disclosed pretty soon. We are going to have the meetings with them on end of this month, beginning -- sorry, end of March, beginning of April. I think they will welcome our strong free cash flow. They will welcome our strong core, non-core strategy, the steps we are taking in portfolio optimization. So we are pretty confident, and I -- hopefully, you can see there in the report when those are public. Going forward, on 2025, for the time being, we are setting a target of stabilized free cash flow. You have to look at that in the light of where we started in 2023. So if you look at the growth in those years accumulated is pretty strong. Free cash flow will continue to be the driver. Free cash flow is driven by growing operating cash flow on top of the very granular management we do of every single financial line below the operating cash flow, but the sale of assets in Hispam is going to benefit probably more than what you think because you have to take into account that Colombia is a highly lever countries. So when that transaction happens, the impact in deleverage is going to help on that deleveraging path. For the time being, we are sticking to 2025 targets. The targets of deleveraging is reduced, the deleverage further in 2025. We are absolutely committed to our investment grade and continue reducing the deleverage, and for the dividend that you mentioned, we are confirming the 2025 dividend of €0.30. Everything else will be part of the strategic review that Marc has been referring to.
Marc Murtra: So David I think your question with regards to the strategic review is respectful and fair. And I agree or would agree with you if we announced that it would be ready by the end of 2025. And what I think I said or in any case, what I meant is before 2025. We don't want to set a specific date to have the strategic review concluded and to share it appropriately before the teams are finally set and the planning agreed. So the reason we leave it in open is so that we don't artificially put a date that is not the right date. So the objective is before 2025, before the end of 2025. And if it were by the end of 2025 with the information I have, and I think you've made a good analysis. Our knowledge today would mean that we've taken a long time.
David Wright: [Indiscernible].
Operator: Thank you. We will now take the next question from the line of Fernando Cordero from Banco Santander. Please go ahead.
Fernando Cordero Barreira: Hello, good morning. [Technical Difficulty]. Thanks for taking my two questions. The first one is for Marc. And first of all, welcome Marc to the story. My question is also on capital allocation, you have been quite clear on the two factors that you would be included in your decisions that would be industrial rationale and financial discipline. In that sense, I understand this is still also early days, but do you see industrial synergies in order to understand this industry rationale to include your exposure to IT services and particularly, I'm talking about an asset that you won't know quite well, which is beside. And also, I would like to expand the discussion to not only to services on top of connectivity in the B2B segment, but also in the B2C segment. And which just do you see the current exposure of Telefonica to the media business, for example, [indiscernible] relevant one in your current portfolio? And the second question is for Angel and particularly on the Spain. I'm willing to understand a little bit [Technical Difficulty] which is your outlook for the OpEx in Spain, considering that we have a tailwind in cost in 2024 coming from the personal restructuring that is still having some impact in 2025, I would like to understand, first, how do you see the whole ops at least qualitatively performing? And also what kind of revenue growth would you be requiring in Spain in order to maintain the EBITDA flat? Many thanks.
Marc Murtra: Thank you for your welcome, Fernando. Regarding IT services, what we can say is that you know our strategy well, and we will see what our strategic revision concludes with regards to IT services. With regards some insight, which is an asset, I think I do know well or very, very well. There could be a fit and there could -- there may not be a fit. It will depend on what our focus is, what our conclusion -- strategic conclusions are. What I can say is that if there is any M&A within the IT sector or whatever sector, we will always maintain strategic flexibility to decide in the last moment, if that is the right deal or not, and it will always look at what the NPV is. So there is no and will be no foregone conclusion after we review -- and after we review our strategy with regards to IT. And with regards to all our businesses, based on the changes we see that are happening, and we think happening in Europe and are going to happen in Europe. And Fernando, I would say the same with regards to B2C or any related services. We -- with regards to the future, we always need to be very, very precise and analytical to see where we do actually have know-how not only from a theoretical and strategic point of view, but how we bring that know-how down to operations and how we enhance that value specifically. So that would certainly include Telefonica Tech. But any potential with regards to B2C, we would be very, very careful and have to be very sure. But I do have to postpone anything further than these generalities, which are very strong and very important to when we conclude our strategic revision.
Angel Vila: And thank you, Fernando, for your second question. The outlook for Spain that we see for 2025, on revenue, we are expecting to sustain year-on-year growth, slightly above what we've seen in 2024. This will be fostered by retail with growth, both on B2C and B2B. On B2C, we had the January '25 price increase, we have a very solid mix of conversion KPIs, the ARPU that churn, the NPS, the net adds supporting a customer lifetime value, which is double the next competitor of ours. In B2B, we continue to grow above the market differentially. But in contrast, the wholesale and others will decline. We'll have decline with the transition of the new wholesale contracts, which stabilize and give visibility long-term but have a slight deflation. Net-net, the combination of retail and wholesale revenues will result in growth in revenue in Spain, again above what we've seen in 2024. Regarding OpEx that you were asking or the translation of this into EBITDA, we're expecting EBITDA to grow by low-single-digit above revenue growth in Spain, this is on the back of the revenue trajectory that I spoke about and continuous efficiencies. We still have some tailwinds from the rightsizing of staff of last year. We have automatization, simplification, the full impact of switching off the copper. So as a result, EBITDA margin should be in line with what we had this year. EBITDAaL, which was in the positive trajectory in the second half of the year, 2024 should grow in full year 2025. And CapEx-wise, we continue reducing CapEx to sales towards the target that we have shared with you. So all in all, there is supportive outlook for the cash flow generation of our Spanish operation.
Fernando Cordero Barreira: Okay, many thanks for taking questions.
Operator: Thank you. We will now take the next question from the line of Luigi Minerva from HSBC. Please go ahead.
Luigi Minerva: Yes, good morning. Thanks for taking my two questions, and welcome to Marc also from my side. So the first question is, Marc, just going back to your comments on the case for cross-border consolidation in Europe. As you rightly say, European markets are local. And I think that's the key hurdle to deliver cross-border synergies in case of combinations across markets. I guess my question is, from your discussions, both at the local government level and perhaps in Brussels, do you sense appetite from the policymakers for a drastic change to basically going beyond the national market more towards a single market. I'll just make a very obvious example, Spectrum. Spectrum is national. And there's always been very strong resistance from the local countries to give up any severity on Spectrum. And until that's the case, it's very difficult to think about a single market for telecoms and therefore, very difficult to think about cross-border synergies. And the second question is on Germany. And I guess what we notice in this quarter is clearly very strong acceleration of migration to -- of the antenna and customer, a big step up in Q4. So it would be interesting to see what kind of phasing you expect through the quarters in 2025? Secondly, we see ARPU dilution, and I think you referred to the family plans. So again, if we should extrapolate what we see in Q4 into 2025? And then more generally, a comment about competitive dynamics in Germany, which clearly seems to deteriorate. Thank you.
Marc Murtra: Thank you, Luigi for your welcome and your questions. I'll answer the first one. So you were asking, do I sense a change regarding drastic change? And I would say, this is my analysis and the conclusion of my conversation and my reading and our reading of the situation is that it's -- I would take it further than sense. I would say, we detect a determination. And I would encourage you and other listeners to use other sources and reach your own conclusions. We detect a determination for drastic change in Europe with regards to strategic autonomy. And I would say I agree with the way you share the difficulties ahead with regards to European level consolidation. And I agree or I'd say we would agree that those exist, and the speed and the level of the execution of that determination is something that we need to see happen. And this is, I'd say, one of the major issues we need to analyze in our strategic review. But it is my opinion that things have changed drastically to use, Luigi your expression with regards to Europe, and that strategic autonomy with regards to what is going on in the world with the U.S., with regards to the war in Ukraine, and with the strategic importance of what our communications are, there's a lot of people on this call. And I would bet a lot of money that every single one of us has a mobile very near us that as all our information exactly where we are, who we discuss, what our bank accounts are everything. And in this context that we think there is going to be change -- and that before there's a storm in Spain, we say that before the storm is the most calm moment. And this is the sort of thing we need to analyze very carefully in our strategic review.
Angel Vila: And regarding your questions on Germany, I will make a high-level comment initially and then I'll hand over to Markus to elaborate in more detail. With the one-on-one migration, it's taking place broadly in line with our expectations. We expect it to be completed on time with the deadline. And on the competitive dynamics in Germany, I would like to say that the wholesale contract that was granted by one of our competitors to one-on-one, changed the dynamics in the market, allowing for instance, to top players offering something similar to unlimited at very low prices. Last year, we also tried to increase more for more movements in the market, and it was not followed by the other players. So we had to adjust in order to continue having the best mix of value versus price to our customers in Germany. So yes, there is more competitive intensity, but it should be -- it's a competitive market, and we have a very strong asset. As I said in my previous presentation, we have quality, which is improving and exceeding the one-off of our peers in the general market. And we are having a very good commercial traction. Markus, if you can elaborate, please on the details.
Markus Haas: Thank you, Angel. I think overall, the German market outlook in fixed and mobile is growing for 2025, and clearly, it's a segmented market. I think our strategy last year and will also be continued this year. It's a mix of retail and wholesale. In retail, we have been able to add more than 800,000 postpaid net adds and we are now going into all segments. So clearly, also the ARPU mix is different. So we go from discount into premium segment. So clearly, the contribution of the segmented approach also allows us to gain this momentum. And so overall, the segmentation and the mix that we currently see from our perspective is very balanced. We also have been able to add new wholesale partners. So overall, to achieve our 2025 target is a very balanced approach between retail and wholesale and clearly by leveraging all segments. So the ARPU mix from that instance on the one hand, driven by the family offers. But on the other side, also of a different composition of postpaid gross adds that we add to the P&L is a natural development.
Luigi Minerva: Thank you very much.
Adrian Zunzunegui: We have time for one last question, please.
Operator: Thank you. Our last question comes from the line of James Ratzer from New Street Research. Please go ahead.
James Ratzer: Hi, yes. Good morning. Thank you very much in deed for taking the question. So I'd like to add my welcome to Marc as well. And I have two questions, please. The first one, Marc, on your strategic review, I've heard comments about kind of potentially building scale and also deleveraging the balance sheet, which -- I mean, building scale in particular, to me, could involve potentially more M&A in future. So I was just trying to think about the third element of this, which was returns to shareholders. And in particular, how you saw that element of the capital allocation over the next, say, two to three years, in particular, with asset disposals coming in, do you see the scope for any increase in shareholder distributions above the 0.3 dividend that's already being paid out? And then the second question, maybe this is more one for Laura, but is on the free cash flow guidance you've given for this year. So I was wondering if we could dig into that a bit more specifically because I understand that, obviously, it's on the same perimeter basis of 2024. But at the same time, the facts have changed. You have now sold Argentina, and given Peru is in the insolvency proceedings. My understanding is you won't be paying interest on the Peruvian bonds, and also you won't be making those tax payments or the extraordinary tax payments in Peru. So therefore, I was wondering if you could give us kind of restated guidance for 2025 free cash flow to specifically take into account the known impacts for this year, i.e., Argentina being sold and none of those extraordinary payments in Peru. Thank you.
Marc Murtra: Thank you, James for your welcome. With regards to the strategic review, one of the -- I'd say one of the essential elements will be what is our financial strategy that accompanies our strategic conclusions and the financial strategy will have a lot to do with of course, capital allocation, dividend distribution and the other elements you mentioned, it is way, way too early for me to share any specifics because we are going to conduct the capital review. But I will say is that I am very, very respectful with regards to our strengths, our history and our way of doing things. We are, of course, going to continue improving, and I come with ambition, but I think I am -- I come with a humble ambition and very, very respectful with regards to our markets, our know-how and what is achievable? And within this context, we will conduct our strategic review, and that will include what our financial strategy is. But unfortunately, I can't really say much more at this stage, James.
Laura Abasolo: Hello. Yes, as you say, consolidation perimeter is changing as we speak. So guidance will need to be revisited for free cash flow with these impacts. But having said that, let me give you a broad picture that Hispam geographies are as a whole positive free cash flow contributors. Some are not, some are, and they are -- they have been contributing positively in free cash flow prior to contingency. So therefore, I touched on that point. For the time being, we have included Peru business as usual. And as you say, if the process we have filed on Monday is authorized. We will not be paying in the short term the payments, as you rightly mentioned. There will be other uncertainty related to the business and their filing process. There will be some working capital elements, but we will update you at the due time also Argentina has just happened on Monday, I mean, literally three days ago, there's going to be probably more portfolio optimization coming, but please take as a whole that free cash flow is positive to neutral contributor prior to contingencies. And in any case, let me focus on 2025 from things that are not changing, which is the core businesses. And the core businesses are being very strong in 2024, as you have been in the delivery of the results and the guidance delivery. And that moving parts for 2025, we are guiding for growing operating cash flow in organic terms. And that's going to come from the Spain growing EBITDA and declining CapEx, Germany stable EBITDA and declining CapEx. Brazil definitely growing operating cash flow. Working capital has been rather neutral in 2024 when it usually has a positive contribution. So we should expect a positive contribution in 2025. Lease payments is going to be less effective because there's less increase in volume, also lower inflation, interest cost, super stable as the case it's been. We will continue optimizing taxes. So I'm very aware that Spain brings some uncertainty. We will give you update as soon as this settles because we are also in the process of Colombia. I mean some things may come, but I also want to stress the strength of the core free cash flow as pillar and the strength of the other financial items that we will continue managing in the right way.
James Ratzer: Thank you. I mean just thinking about the free cash flow guidance for this year, if Argentina sale is probably broadly neutral with cash deconsolidated, but some interest payment saves. But I mean, if Peru could be, I don't know what you had in the budget for this year, but maybe negative €100 million or €200 million outflow for these tax payments and interest on the bonds there. So does that mean free cash flow could be close to €2.8 billion if the Peruvian insolvency goes through?
Laura Abasolo: You are asking me for giving you a new guidance, I'd rather stick to our guidance of €2.6 billion perimeter equal. We haven't provided in the past detail of every open Hispam free cash flow. So we are not going to do that at the moment. There will be moving parts, and we will update you as soon as we can and we settle the portfolio, we have the authorization of the process in Peru, many things have to happen. But we didn't provide specificities on free cash flow of Argentina or Peru in the past, and we plan to do the same and treat Hispam as a whole and revisit the guidance, but please take into account the strong pillars I mentioned on the other part of the business and the neutral to positive impact from Hispam as a whole pre-contingencies.
James Ratzer: Got it. Thank you very much.
Operator: At this time, no further questions will be taken.
Marc Murtra: Thank you, everybody for your warm welcome and questions. We hope that we have provided some useful insights for you. I look forward to our continuing working relationship. Should you still have any further questions, we kindly ask you to contact our Investor Relations department. Good morning, and good Thursday to you all. Thank you.
Operator: Telefonica's January-December 2024 results conference call is over. You may now disconnect your lines. Thank you.